Operator: Good day, everyone, and welcome to this Arch Coal Incorporated Fourth Quarter 2011 Earnings Release Conference Call. Today’s call is being recorded. And at this time, I would like to turn the call over to Mr. Deck Slone, Vice President of Government, Investor and Public Affairs. Please go ahead, sir.
Deck Slone: Good morning from St. Louis, thanks for joining us today. Before we begin, let me remind you that certain statements made during this call, including statements relating to our expected future business and financial performance, may be considered forward-looking statements pursuant to the Private Securities Litigation Reform Act. Forward-looking statements by their nature address matters that are, to different degrees, uncertain. These uncertainties which are described in more detail in the annual and quarterly reports that we file with the Securities and Exchange Commission, may cause our actual future results to be materially different than those expressed in our forward-looking statements. We do not undertake to update our forward-looking statements, whether as a result of new information, future events or otherwise, except as may be required by law. I’d also like to remind you that you can find a reconciliation of the non-GAAP financial measures that we plan to discuss this morning at the end of our press release, a copy of which we have posted in the Investors section of our website at archcoal.com. On the call this morning, we have Steve Leer, Arch’s Chairman and Chief Executive Officer; John Eaves, Arch’s President and Chief Operating Officer; and John Drexler, our Senior Vice President and CFO. Steve, John and John will begin the call with some brief formal remarks, and thereafter we’ll be happy to take your questions. Steve?
Steven Leer: Thank you, Deck. Good morning, everyone. 2011 was a transformative year for Arch Coal as we executed on our long-term growth plans that boosted our reserves by 1.3 billion tons, added low cost productive capacity in our core operating basins, and expanded our reach into the global coal arena. To that end, we deepened and broadened our met coal profile with the acquisition of ICG. Facilitated continuing penetration into the overseas market with new offices in Asia and Europe, and bolstered our port access along the East, West and Gulf Coast. All supporting our objective of delivering even stronger financial returns in the years ahead. Our fourth quarter results reflect these efforts. Arch generated $1.2 billion in revenues, $270 million in EBITDA last quarter, representing our best performance yet. These results also cap of a record year from our core value perspective. In terms of safety and environmental performance, Arch again ranked first among its majority of its industry peers for its low incident and environmental violations rates. Also, four of our facilities ended the year without a single safety incident our environmental violation. We are proud of these accomplishments, even more so considering that we welcome 13 new mining complexes and 28,00 new employees into the fold halfway throughout the year. In terms of financial performance, we topped $4.3 billion in revenues and $921 million in EBITDA in 2011, despite lower company sales volumes. We also set these records while acquiring and integrating ICG over a very short timeframe, while overcoming operational challenges at our Mountain Laurel complex and flood related disruptions in the Powder River Basin. And while managing through a weakening market environment as the year ended. As you know, the coal industry will face some headwinds in domestic thermal markets in 2012. Power demand is down approximately 8% through the first week in February, a function of the exceptionally mild winter to-date and a tough comparison versus 2011. Heating degree days are also off 20% from normal which has contributed to the glut of natural gas and depressed prices for that fuel as well. As a result, we are taking a conservative view of 2012 and expect U.S. coal consumption to decline by approximately 50 million tons or so from 2011 levels. This drop off is due to unseasonably warm weather in this winter season and to decade low prices for natural gas, which are causing some displacement of coal burn. Given these headwinds, we are seeing a significant coal supply rationalization. Of course a swift and deep correction can set the stage for a stronger and longer rebound, in fact we believe that Arch is one of the few producers in the Appalachia region that has cash costs below the current market price levels. Thus, it wouldn’t be surprising to see Central Appalachian thermal production fall well below 100 million tons by year-end. In summary, we expect to see more supply cuts in Appalachia and elsewhere in the near-term, supported by industry announcements to date and by our own reduced volume expectations this year. All of these production cuts, along with the 20% drop in natural gas rig count, should help reduce the oversupply of gas and also aid in rebalancing the U.S. thermal coal markets overtime. Despite the current challenging state of the U.S. thermal markets, we do see some positive signs in the economy in the sector overall. For one, coal exports out of the U.S. have been and should continue to be a bright spot. In 2011, the industry hit a record 108 million tons of export. In 2012, we expect the total to grow by another 5 to 10 million tons as U.S. thermal coal continues to push into Europe, even with lower ARA prices, and as port capacity increases along our domestic coastlines facilitating the movement of additional tons to the Atlantic and the Asian Pacific seaborne coal trade. In the Atlantic basin we remain bullish, certainly in the intermediate term. Seaborne coal demand will increase as Europe recovers from its debt crisis, power needs arise from offline nuclear plants in Germany, traditional coal supply sources divert shipments to Asia, and high prices for natural gas overseas make coal very competitive. We are even more bullish on the Pacific seaborne market. Roughly 220 coal plants should come online around the world between 2012 and 2015, with a vast majority of those plants located in Asia. These trends continue to support increased demand for PRB coals overseas and we are making steady progress in our efforts to establish port capacity on the West Coast in North America. We also expect supply demand fundamentals to remain tight in the met markets over the next five years and beyond. In the near-term, U.S. steel utilization rates remain reasonably high at 77%, driven by improving sectors of the economy such as autos, oil and gas, E&P, and heavy equipment. Global utilization rates also appear to be gaining traction, which should bode well for the met coal demand in the coming quarters. These steel market indicators along with the threat of new met supply disruptions, suggest to us that met prices are bottoming out and could strengthen as the year progresses. Next I would like to spend a few moments discussing the specific action that Arch is taking to properly ride through this trough and to excel in the next market upswing. We firmly believe that rationalizing production targets and exercising tight fiscal discipline in the near-term, are in the best long-term interest of the company and will create long-term value for our shareholders. As discussed, we are reducing our expected volume levels in 2012 in response to weakening market demand. These reductions will be spread across our operating region, but mostly concentrated in Appalachia and the Western Bituminous Region. From cutting shift work to idling certain pieces of equipment, our goal is to reduce the high cost incremental production, while retaining the operational flexibility to respond as market conditions evolve. As you know, we previously announced that the Dugout’s longwall would be idled in the first quarter, and we have reduced the workforce at our operations in Eastern Kentucky. Beyond those reductions, we are also cutting back on contract mining and slowing the pace of mining at some of our operations to preserve high quality reserves for a time when the market returns are a bit better. These actions along with other streamlining efforts should result in volume reductions of more than 5 million tons in 2012. Going forward, we will also continue to be market driven, and we will further evaluate market conditions as the year progresses to make appropriate adjustments as necessary, including potentially pursuing further supply rationalization. Again, depending on the market. Furthermore, we are adjusting our capital spending to better align with market demand expectations. However, we will continue to invest in expanding our full export network and in advancing the build-out of our met coal portfolio. We strongly believe that the U.S. is becoming a baseload supplier in the seaborne coal trade market, and that scarcity of high quality met coal supply will persist over the next five years and beyond. With that, I will turn the call over to our President and COO, John Eaves, for a further discussion of Arch’s performance and plans for 2012. John?
John Eaves: Thanks, Steve. We ended the year on a strong note in the PRB with operating margins climbing to nearly $2 per ton. Quarterly shipments rose as flood related disruptions from previous quarters faded, price realizations were flat to up, while operating cost per ton declined 4% versus the third quarter, benefiting from higher volume levels and effective cost control. Looking ahead, as Steve mentioned, we are targeting lower volume levels in all regions due to the weak thermal U.S. coal markets. This approach ensures that the value of our low cost reserves is preserved until markets are more attractive. At the same time, it’s important to note that Arch is highly contracted in the near-term with up to 90% of its thermal tons committed in 2012. This provides us with a solid base to selectively layer in tons as appropriate. Just this past quarter we repriced or layered in some 8800 and 8400 tons and shipped two vessels of PRB coal to Asia through Ridley. Looking ahead, we expect to ship more than 2 million tons of PRB coal overseas during 2012. On the cost side, we are entering 2012 with 70% of our diesel consumption protected at cap prices, this strategy allows us to benefit if diesel prices drop or protecting us against drastic rises in prices. At current market prices, we would expect our diesel cost to trend $0.25 higher per gallon in 2012. Coupled with the lower production levels and normal inflation we expect annual cost increase in the PRB as detailed in our release. In the Western Bit region, price realizations expanded and cash costs declined during the fourth quarter resulting in a 7% increase in operating margin. For 2012, we previously announced plans to reduce our volumes in the region and project costs to increase due to lower production levels, but somewhat offset by the idling of higher cost production. In Appalachia, fourth quarter operating margins increased over the third quarter, thanks to the return on Mount Laurel’s longwall, cost containment efforts and the realization of synergies in the ICG acquisition. Per ton price realizations declined slightly, in line with lower benchmark met settlements. Offsetting the price decline were stronger met shipments in the fourth quarter, which totaled more than 2.2 million tons and represented record for Arch. In 2011, our met shipments reached 7.5 million tons, at the low end of our guidance range as met demand softened during the fourth quarter. For 2012, we currently are targeting met shipments of 9 to 10 million tons based upon our current view of North American and international steel sectors. To date, we have committed more than half of our met volume in 2012, primarily to domestic steel producers at attractive prices. We are also in the process of placing our international met business now and would expect to conclude most of that during the first quarter. Furthermore, as you know, Mount Laurel will transition to this Cedar Grove seam in the first quarter and will experience an extended longwall move there. We project the longwall to begin its transition in mid-February and start production in the Cedar Grove at the end of March. As discussed on the last call, the Cedar Grove seam is thinner than the current Alma seam which will result in a loss of yield at the mine, translating into slightly higher cost. However, we anticipate enhanced margins at the mine as the quality in the Cedar Grove is much more consistent than in the Alma. We continue to focus on achieving the synergies from the ICG transaction and expect to drive these to the bottom line in 2012. Our cost guidance reflects these efforts with cash costs expected to remain well under $70 per ton. Looking ahead, I would like to project out what Arch’s met profile could look like by 2015 and beyond and to give you an idea of why we continue to advance our low cost, high quality met projects. In 2011, our met profile skewed 25% towards higher quality coals, low-vol and high-vol A, with 75% representing high-vol B and PCI. As we further develop our met reserves, we would expect met quality to improve with more than 50% of our mix coming from high quality products by 2015. We remain on track to hit our goal of 15 by 15, that is 15 million tons of met coal sales by 2015, with the largest driver being Tygart Valley, where the longwall is scheduled to start in mid 2013. During the fourth quarter, we completed the build-out of the shaft at Tygart, produced our first development tons, and placed the order for the longwall to arrive in the spring of 2013. Beyond Tygart Valley, Arch acquired a vast met coal reserve base with the ICG transaction. Since the acquisition, we have begun the planning and permitting process for those reserves in an effort to expand and upgrade our met portfolio over the next decade. We have already discussed the potential for developing Shelby Run, with the goal of starting up that operation towards the end of our five-year time horizon. In addition, we plan to add another continuous miner operation over the next few years and see opportunities to grow output at several other met properties as well. Moreover, we still have further development opportunities beyond those already identified and we will be gauging the market carefully to determine when to begin the move forward with those additional projects. Moving to the thermal markets, we are scaling back lower margin production in Appalachia due to the weak market, and continue to evaluate our portfolio to assess whether there are non-core assets in the mix. We are also targeting the export market to expand our presence in the seaborne trade. And while pricing is what we had wanted to be, we are seeing demand for thermal coal. In total, Arch is targeting 12 to 13 million of tons of exports in 2012. That’s up substantially from 2011 and includes all the operating basins. Our throughput arrangements and (inaudible) investments in ports across the country will help facilitate reaching this goal. Certainly, our recent announcement with Kinder Morgan will help Arch over time transition us into a baseload seaborne supplier from right here at home. With that, I will now turn the call over to John Drexler, Arch’s CFO, to provide an update on our financial achievements in 2011.
John Drexler: Thank you, John. As Steve and John have indicated, it has been a transformative year from a finance perspective as well. We arranged financing for the largest transaction in company history, we successfully integrated all of the finance and accounting functions of the ICG operations, and we have substantially completed the purchase price allocation in accordance with the accounting rules. In the quarter just ended, we incurred a nominal amount of ICG transaction related cost. These costs include incremental severance cost and miscellaneous transition expenses. We have excluded those costs from our adjusted EBITDA and EPS calculations to better reflect results from our continuing operations. As of December 31, we do not expect to incur any additional transaction related cost. We also adjusted the valuation of ICG’s assets and liabilities, including property, equipment and coal reserves. The resulting changes required us to recognize additional non-cash depreciation, depletion and amortization. Accounting rules associated with purchase price allocation require us to adjust all periods affected, so we have made adjustments to our previously reported results. The impact of these changes was $31 million on a pre-tax basis for the year, or $0.09 per share. And $12 million on a pre-tax basis for the fourth quarter or $0.04 per share. During the fourth quarter capital expenditures were higher than forecasted, primarily due to our acquisition of the South Hilight LBA. We made the first of five payments of $60 million in the fourth quarter with the remaining payments due annually beginning in 2013. We also had an acceleration of capital spending at Tygart, where development continues to run very well as we target a mid 2013 startup date. As we look to our capital spend in 2012, we have reduced our expectation of spend, given the current market conditions. With our announced reductions in production, we have been able to eliminate or postpone a substantial amount of expected capital. We currently expect our capital spend in 2012 to be between $450 million and $490 million, with approximately half of that amount associated with Tygart’s development. This modest level of capital spend in 2012 demonstrates our ability to adjust to market conditions and manage our cash flows during challenging times. Turning to our balance sheet and liquidity position. We ended the year with a net debt to cap position of 52% and liquidity of more than $1.1 billion. During the fourth quarter we were successful in expanding our accounts receivable securitization program, from $170 million to $250 million dollars. Despite expectations for reduced profitability and cash flows in the near-term, we will continue to focus on generating free cash flow and debt reduction over the course of 2012. As you have seen in the press release, with the uncertainty that exists within the coal markets, we have elected to adjust the way we provide guidance, giving more direction in each of the regions that we operate in. We believe this will provide additional transparency allowing investors to make their own assumption about future market prices. We expect the following. Total sales volumes including brokerage tons to be in the range of 151 to 168 million tons. Cash cost in the range of $10.75 to $11.50 per ton in the Powder River Basin. $25 to $28 per ton in the Western Bituminous Region. $64 to $68 per ton in Appalachia, and $32 to $33 per ton in the Illinois basin. In addition, we expect DD&A, including sales contract amortization in the range of $570 million to $590 million. SG&A in the range of $135 million to $145 million. Interest expense in the range of $280 million to $290 million. And capital expenditures, excluding acquisitions and new reserve additions, of $450 million to 490 million. Given our current outlook and contemplating the impact of percentage depletion, we would expect to record a tax benefit for the full year. Our low cost portfolio, ability to significantly adjust capital spending plans and scale our production will allow us to persevere through the market downturn. Despite the challenges, we expect to remain profitable and to generate meaningful free cash flow. As we have stated previously, our priority for that cash flow will be to pay down debt. With that we are ready to take questions. Operator, I will turn the call back over to you.
Operator: (Operator Instructions) We will go first to Paul Forward at Stifel Nicolaus.
Paul Forward - Stifel Nicolaus: Good morning. On the -- you have a wide range of thermal coal production guidance for 2012 sales. I was just -- when you see this market today in the PRB where, for what it’s worth, you have got a sub $10 number for first half deliveries on the, for what we can see in the traded markets. Which would be below your cash cost in the region. Do you see yourselves as likely to stay closer to the bottom of your thermal coal guidance range if there is no improvement here in the PRB?
John Drexler: Well, I think there is couple of things, Paul. When you look at the current indices, and this is not unusual for this quarter, the actual transactional market for any meaningful tons often is different, and it currently is different. I think you could even look at our, kind of the implied pricing. If you do calculations in the fourth quarter you could see that as well. And, so really we are seeing opportunities out there. Whether we are successful in them or not will be -- it’s a competitive environment. So obviously, the low end would imply that the market is soft and continues to be very very soft. The high end would imply probably a hot summer. So I think we are pretty comfortable with that range and our cost guidance reflects both ends to that range as well.
Paul Forward - Stifel Nicolaus: Great. And it was good to see the development tons coming out of Tygart in the fourth quarter. I was just wondering, now that you have had a chance to actually get into the coal seam and do a little bit of a production. I was just wondering, have you learned anything new about the geology and the likely mining conditions there, and how does that compare to the expectation you had when you pursued ICG.
John Eaves: Paul, this is John. I was there a few weeks ago. Actually, I went down the shaft and the conditions actually look very good. The operating guys are excited about it. As you know, we have advanced the longwall start-up to mid-2013. We expect it to be a very low cost operation, probably one of the lowest cost in Eastern United States. And really, it’s similar roof conditions as to what we have had at Sentinel, we managed through those and we think we are going to be in great shape from a cost standpoint, from a quality standpoint. If look at the high vol-A product and the U.S. market as well, it’s a global market. We think it’s going to be very well received in both markets. And with the proximity we have with that product to the East Coast, we think it’s going to serve the global markets very well. But so far, we are excited about it, we are anxious to get it up and running. And we think that mid 2013 is a realistic expectation.
Operator: We will go next to Shneur Gershuni at UBS.
Shneur Gershuni - UBS: Hi, good morning, guys. Just a clarification before my question. You know in your guidance you talk of cuts but you sort of didn’t mention the PRB. Is it somewhat of a backdoor cut with the PRB, if you are flat with last year, given you lost tons related to the floods and so forth.
Steven Leer: Well, you could look at it that way. But the reality of the PRB is that we have, I think, demonstrated in the past that we can adjust that production up and down to meet market conditions. But at the same time as we look at the PRB currently, Black Thunder is producing, we think probably the highest quality coal available out there, in terms of both BTUs and in terms of a lot of the other parameters. So it’s kind of a little bit of a unique position. So, I guess, our message to all the investors is that we will be market driven there and we will operate that mine to certainly generate attractive returns. So that will be driven by the marketplace and we will see how it goes forward.
John Eaves: You know Shneur, I think you have set the good one. Certainly we are not seeing anything in the short term in the PRB, that gets us very excited. We hope as we go through the summer that as the inventories get drawn down a little bit it’ll give some better opportunities. But as Steve said, we are going to be market driven, we think we can make money at these lower price levels. We don’t like it, we are not going to go out and sell our coal very forward. We might sell some coal short-term to run our mines optimally, but we really like where we are and like being patient until we see an improved market.
Shneur Gershuni - UBS: Great. A follow-up question if I may. You had some pretty good cost performance in the fourth quarter in Central App, and you talk about kind of free cash flow generation throughout next year. While you didn’t provide guidance per say I was wondering if you can talk about, where you think your cash flow will be at the end of the year? And then you talk about deleveraging as part of the equation. Are there targets you are looking to hit? Is there going to be anything left over to do share buybacks and so forth. I was wondering if you can sort of discuss it in that context.
John Drexler: Shneur, this is John Drexler. We didn’t provide earnings guidance for the year and are reluctant to give cash flow. But I think we did indicate in the prepared remarks that even with the lower levels of income that we are expecting due to the market conditions, we still expect meaningful levels of cash flow. And I think in the prepared remarks we did indicate also that our focus will be to continue to focus on debt reduction at this point in time in these market conditions. And we are able to do that by focusing on our capital spend program and being very diligent in how we spent our capital as we move forward and are comfortable with how we will progress throughout the year. I think we have also stated historically and on various call that we have been in the range of low 40% debt-to-cap. And that’s been a comfortable position to operate from. And we are higher than that right now to acquire the ICG acquisition. But once again, a very strategic acquisition for us that we feel, and continue to feel very good about. So we will continue to work that leverage down as we move forward.
Shneur Gershuni - UBS: Final question and I will jump off. What are the qualities of the met coal that’s left to be signed. Is it PCI or high-vol or is it some of the low-vol?
John Eaves: You know it’s a combination. Right now, I think we are 40%-50% of what we placed is kind of the lower quality high-vol and PCI. So it’s kind of a mixture. I think overall, Shneur, we are going to be 75% high vol-B and PCI, and about 25% low vol and high vol-A.
Operator: We will go next to Michael Dudas at Sterne, Agee.
Michael Dudas - Sterne, Agee & Leach: Good morning, gentlemen. I think the market welcomes the production and the capital discipline. Encouraging remarks, for either Steve or John, on the export market, given where prices are and demand overseas. Maybe you can shed a little bit more insight on the met versus thermal mix as we see potential import, or exports rather. And how PRB in 2012 may be additive to that throughout the year.
John Eaves: Michael, this is John. Certainly, we are encouraged by what we see in the global markets. If you look at the growth, and Steve referenced in his opening comments, we have identified about 450 to 470 gigawatts of new coal-fired demand over the next three of four years. And we think that’s going to drive a pretty significant shortfall in the world markets and that’s really why we positioned Arch the way we have. And one, we made the ICG acquisition. We worked hard on expanding our infrastructure. And as a company we exported about 7 or 8 million tons in 2011, growing that to 12 to 13 this year. And I would say, we are typically about 60% of that being met, 40% in thermal. It might be closer to 50:50 this year given what we are seeing in the domestic markets. Steve also referenced the 77% capacity factor in the U.S. We see potentially some additional opportunities in domestic market throughout the year if they continue to run as those capacity factors. But as we look at the global market, we think the PRB coal is going to continue to go off the West Coast. We are forecasting about 2 million tons in 2012 in that market of the West Coast as well as through the Gulf. Now we shipped about 0.5 million tons in the PRB in 2011. So clearly, we see a growing market there. I would tell you on the Western Bit region, we’ve seen very little demand in the U.S. but we have seen a strong demand in the global markets. And we placed almost 2 million tons of Western Bit in 2011, and are targeting 2.5 million to 3 million tons in 2012. So the global markets are becoming a very important market for Arch and I think the U.S. coal industry. If you look at the growth in demand, the shortfall in supply, it’s clear that the U.S. is going to go from the traditional swing supplier to a more long-term strategic supplier over the next couple of years. That’s really how we positioned Arch to be able to take advantage of that.
Michael Dudas - Sterne, Agee & Leach: Appreciate that. My follow up, John, is, in your remarks and looking at Central App and the cost structure you have relative to the competition. When do you think the market is going to see some more layoffs, more notices, more production on some of the non-public companies that are trying to survive at NYMEX at net back below $60?
John Eaves: You know, Mike, I think it’s going on right now. I think it’s going to be a process throughout the year, but if you look at people’s cash cost and where the current market is, I just don’t see who some of those guys will survive. It’s going to be tough out there. There is virtually no demand on the thermal side. That’s why we think we have got a competitive advantage where our cost structure is. The Central App was 182 million and 183 million tons in ’11, our internal forecast has that coming off pretty hard. And I think that’s probably even conservative. We have got it in that 160 range and I think that’s quite high where we look at it today. So I think it’s already started. I think you will see it accelerate as we move through the year.
Operator: We will go next to Brandon Blossman at Tudor, Pickering, Holt.
Brandon Blossman - Tudor, Pickering, Holt: Good morning, guys. So can you just talk a little bit about the 50 million tons of coal that you see potentially coming out of the thermal generation market in the U.S. And kind of what may be split between Central Appalachia, PRB, where you see the most pressure on demand from that standpoint?
Steven Leer: I think the main pressure is going to be in Central Appalachia. Again, as John really answered in the last question, the nature of the cost structure in Central App just makes it very very difficult. And as we look at the global markets and some of the crossover tons that probably were going into the met coal markets a year ago or trying to find a home perhaps in domestic thermal market. And costs aren’t supportive and the demand is not supportive. So if in fact, if you look at total thermal production in Central Appalachia last year -- John referenced total production was around 185-186 million tons, including metallurgical coal. If you scale that back and say what was the thermal production, it was about 125 to 130 million tons or so. And that we are projecting right now, internally, that that’s going to drop 25 to 30 million tons perhaps more by year-end on an annual run rate basis. So that’s going to be a big chunk of it. You will also see some of it go into the overseas market as we said, 5 to 10 million tons. Most of that increase is likely to be thermal exports, so you will see a piece of it going there. And then the rest will be spread across all of the other basins from Illinois to Northern App to the PRB to Western Bituminous. And everybody will take a little chunk of that. Absorb a little chunk of that.
Brandon Blossman - Tudor, Pickering, Holt: Okay. All right, that’s very helpful. And then just one follow-on with that. Kind of the drivers of the cost increase in Central Appalachia, the guidance of $64 to $68 a ton. Does some of that just have to do with the mix shift away from thermal to a slightly more expensive met product?
John Eaves: You know, I think it’s just generally inflation. You got Mount Laurel transitioning to the Cedar Grove seam. It’s about a foot thinner then what we had in the Alma, so the costs are going to up. It is a better quality coal so we should see that on the realization side. But it is putting a little pressure on the cost. So we do think we can fall in at $64 to $68 cash cost range. And hopefully we will be in that midpoint if not on the lower-end of that. I think it depends on what happens for the balance of the year in terms of us having to make any further reductions in volume.
Steven Leer: And it does reflect some reduction in volume from our overall production in ’11. And even though you are taking out high cost increments, it still spreads all the fixed cost and everything else over (inaudible) tons.
Operator: We will go next to Jim Rollyson at Raymond James.
Jim Rollyson - Raymond James: Good morning, guys. Steve, if we go back to kind of late ’08, ’09, which was a pretty tough market. You had some of the producers out there kind of seeing deferrals of deliveries by the utilities or even some of the guys that locked in pretty high prices running up into mid ’08. Maybe pushing out the high price contracts a little bit further out in the future. Just kind of curious if you guys are hearing or seeing any of your utility customers trying to defer shipment and/or pricing out into the future just given the weak gas market? Or if you think you are at risk of that?
Steven Leer: I think there is a risk of it. We have seen a little bit of it but not much, to be quite frank. I was just upstairs going through some of the marketing guys yesterday, and it’s a bit different this time. In one respect ’08 is a good model I think, but this time I think the strength of the industry, the cost structure, particularly in Central Appalachian production, is such that some of our customers are really fearful that a lot of these guys just aren’t going to survive or make it. And so they are turning their attention to companies like Arch and a few others that clearly, probably will come through this thing with a competitive advantage, ones that clear the marketplace. I would anticipate that we will see some of it, but our view of it is that Arch will -- if we have a contract with one of our customers we will always work with our customers if we can, but we are going to preserve the values for our shareholders. And really the marketplace has gotten sophisticated enough anymore that the sellers and buyers all understand that, and then you just find out ways and opportunities to see if you can make that work. The other advantage that Arch brings to the table is sometimes we are able to substitute coal from one of our other regions or different sales that work for us and the customer, as part of an overall agreement to give some relief. But thus far, it’s kind of on the radar screen but not a lot of it.
Jim Rollyson - Raymond James: Okay. And as a follow-up, there has been some stuff written in the trade publications about the possibility of railroads maybe giving a little bit relief to your utility customers, particularly out of the PRB. But have you guys heard or seen any of that happening and do you expect that could be case if gas stays down here for a while.
Steven Leer: Well, again, that’s really a question for the railroads and the utilities in the sense that that’s where the contract exist. I will say that we see it more directly when we talk about the export markets. And the rails are very realistic. They want to preserve that export market and they understand the weakness in the market and they have indicated that they are willing to participate in some of the weakness in say, ARA pricing. Now having said that, the flip of side of that debate is that when the markets strengthen the rails are right there too. So they are here to make money as well as the coal companies. But I really do think that the entire supply chain is looking at this market. And again when you get to the size and breadth of an Arch Coal, that we have the ability to walk-in and talk about volumes and things that are of interest to the rails, the barging companies or the terminalling companies. That makes sense for all parties to feel a little pain in a weak market and gain some opportunities in a strong market.
Operator: We will go next to Brian Gamble at Simmons & Company.
Brian Gamble - Simmons & Company: Good morning, guys. Couple of things. On the open tonnage, can we either get a breakdown of where your -- what I calc about, 25 million tons of open coal, is by basin. Or if you would rather, does the mid-point of the total sales guidance imply that PRB quarterly production remains around that 30 million ton level?
Steven Leer: You know mid-points are always kind of the way to think about, I think ranges, and obviously though, things can occur to take you up or down. But I think that’s the way to think about things. We never really break things down by basin, but as we indicated we expect more pressure on production tonnage across the industry in Central App and then Western Bituminous, but all the basins will have some.
Brian Gamble - Simmons & Company: Okay, that’s fair. Backing up a little bit, when you think about, with new EPA regulations, with new interest scrutiny. As you shut mines down or as you idle mines, could you maybe walk us through the thought process as to, I guess how far into the idling process you really go. Just because of the difficulties of getting mines back up and running once demand changes and once you’d really like to have those mines back. Kind of walk us through what hot idle really means versus being able to bring something back on?
John Eaves: Brian, this is John. You know, if you think about our Dugout announcement late in 2011, we are planning to idle that longwall sometime in the first quarter of this year, and really put that machine in a place where we could bring it back in a reasonable timeframe. And when I say that, 60, 90, 100 days, but not willing to do that till we see a sustained market. Some of the other cutbacks that we’ve made, we’ve changed or reduced work schedules, gone to shorten work week, idled high cost equipment, especially in Eastern Kentucky. So, all those things would allow us the opportunity to bring that production back where there are markets that made sense on a longer term basis. So, everything we’ve done thus far, I would tell you we would have the opportunity if we saw the sustained market, to bring it back in a reasonable amount of time. But we will be very careful in making those business decisions.
Brian Gamble - Simmons & Company: Do you think that’s consistent throughout Central App? Or do you think that because of your footprint you’re able to make those decisions with a little bit more clarity than someone who might be smaller and really just have to shut down, period?
Steven Leer: I think this time we’re probably going to see shut down period of -- having said that, coal miners are extraordinary inventive and creative and can hang on for longer than most people perceive sometimes. But when you think through, as you started the question with the regulatory environment, some of the quality of the coal. We haven’t talked about permitting for a long time I think on some of these calls. But the permit issues that are hanging out there for lots of producers, it’s looking like a perfect storm to see, perhaps permit reduction, particularly in the Central App region. And, again I come back to, when you look at the cash cost of Arch and you look at that Central App cash cost, we see this as a competitive advantage that actually gets highlighted as we go through a downturn in the market. And frankly there is probably some opportunities out there as we progress through ‘12 and into ’13, that there may be some interesting reserves or other things that could occur. We are not saying we are going to do anything, but there is a significant proportion of the marketplace that can’t compete at the current level of pricing. And once you close some of these mines they become more expensive to open, so you need a big jump in pricing to really justify reentering.
Operator: And we will go next to Mark Levin at BB&T Capital Markets.
Mark Levin - BB&T Capital Markets: Hi, gentlemen, just a couple of quick questions. First, as you think of the capital structure where it sits today and the deleveraging process, are there opportunities or -- by opportunities I mean maybe 2012 near-term opportunities for asset dispositions that could be maybe accelerate the deleveraging process. And if so, what particular regions might look bit more attractive from that perspective?
Steven Leer: Sure. If you know look at Arch’s history, I think we’ve always taken a portfolio approach on our assets and we’ve bottomed, we have sold them. And we certainly haven’t changed that fundamental belief and strategy that sometime assets are worth more to somebody else than we perceive them in our portfolio and vice versa. So, we certainly always are exploring those kind of opportunities. We’ve had that past year on different things. We’ll continue those kind of discussions where might they be. I mean, again, it’s hard to define, but the Powder River Basin is kind of defined to what it is. So it basically comes down to Central App and perhaps Western Bituminous. But we’re always looking to buy or sell depending on the price as they say.
Mark Levin - BB&T Capital Markets: Got it. And then, the second question, as it relates to met and sort of what you are seeing from an export demand perspective, not only for -- I guess maybe more specifically for some of the lower quality met coals. Can you maybe talk about sort of what demand trends have looked like? And then also pricing on the lower quality met coal, how they’ve been trending over the last say, two, three months?
John Eaves: Yeah, I won’t talk about the pricing because we’re right in the middle of our discussions for international. And I don’t think it’s any secret, they’ve been trending down a little bit over the last month or so. But the marketing guys over the next two weeks have their initial meetings with the international customers. I would not expect anything to get finalized during those discussions but kind of explain their relative positions and how they may move forward. But we give them 9 to 10 million tons for the year. We placed about 4.9 million of that, a lot of that domestic. So we think there’s more than an adequate demand to place the balance of that volume in the international market. So we continue to see opportunities especially in the Atlantic market, the South American market, as well as the Asian market. So we see that demand continuing to be there and maybe even strengthening as we move into the back half of the year. Most of the international settlements will more likely be on a quarterly basis. So as we book that volume and we see improvements in the market we’ll have those opportunities as they present themselves towards the third and fourth quarter.
Operator: We will go next to Mitesh Thakkar at FBR.
Mitesh Thakkar - Friedman, Billings, Ramsey: Good morning ,everybody. First of all thank you for increased transparency on the guidance. My quick question is on the met coal side you mentioned you’re planning to export about 6 million to 7 million tons of met coal in 2012. And about the same number for steam coal. How much of that has already contracted and how much is what you are planning to do over and above what is contracted.
John Eaves: Well, I think the export volumes will depend on kind of where we see the opportunities. Like I said we’ve placed about 4.9 million thus far in the domestic market. And with the demand we see, we don’t think there is going to be any real problems in placing the balance of that in the international market. So we’ll see how that plays out. But clearly we’ll evaluate the market. We think South American growth, the opportunities in the Atlantic market, both will give us an opportunity to export. The met versus thermal in 2012 could be closer to 50-50 than our historic 60-40 range. So we’ll, again, just the market will determine on how much volume we’d put in each of those markets.
Mitesh Thakkar - Friedman, Billings, Ramsey: Okay. And when you look at your total met coal capacity, obviously it’s more than the 9 million to 10 million ton guidance which you have provided. How do you think about -- what do you need to see, whether from a pricing standpoint or just the depth of the market standpoint, what will it take to bring to run it all out kind of thing?
John Eaves: Well, I don’t want to put any prices out there, but if we saw sustained demand, I mean as we indicated in our previous guidance for ‘12, that was probably closer to the 10 million ton to 11 million ton mark. And we still feel confident in that. If we saw the demand at reasonable prices, I think we could get to those levels. Hopefully, we are being conservative with our 9 million ton to 10 million ton forecast right now.
Operator: We will go next to Andre Benjamin at Goldman Sachs.
Andre Benjamin - Goldman Sachs: Good morning. First question. We’ve heard some utilities in regions that have historically burned a lot of PRB, say that gas plant utilization rates are significantly higher than usual at present. Are you actually starting to see the incremental signs of coal to gas substitution at the expense of PRB over the last few months or is it simply something that you’re expecting could happen as you do your forecasting?
Steven Leer: We’ve seen a little bit where they run some peakers in place of what we think would be PRB, but it hadn’t been a lot. But we anticipate and as we forecast, that that could continue and likely will continue. We certainly believe gas pricing will stay down at low levels for most of this year or really all of this year, and the forecast projects that or contains that. I mean the gas guys and I have said this publically to a couple of CEOs of the gas guys. They remind me of the coal industry in the 90s when we got a lot of new reserves from the steel companies and we went and produced it because we could. We drove our cost down, we drove our production up, and we drove the price into the tank, and about a third of the industry went bankrupt. So we’ll watch with interest what they do.
Andre Benjamin - Goldman Sachs: Thank you. And I guess on the back of the discussion about reserves, I’d be interested in your perspective on the Illinois Basin as you were talking a little bit about non-core assets, given the market is more focused on Appalachian and the PRB. We know a number of investors and industry participants are a little more bullish on the growth prospects given a lot of the nation’s fleet is going to be scrubbed by the end of the decade. And there is also export potential that a lot of large public companies we watch, all have reserves in the basin and they are looking to redeploy their capital elsewhere. I guess, as someone that has reserves, but are also talking about expansion opportunities elsewhere. Could you talk a little bit about how you are thinking about the long-term volume outlook in that basin versus the others?
Steven Leer: Sure. We do believe that Illinois Basin will expand over time and can become a very important source, again, I guess, for coal supply. That’s why I think we have approximately 800 million tons or more of low chlorine coal there and relatively low cost coal. You can even see that in the release and from our small Viper mine. We see it as an opportunity. Those who followed us and certainly have talked to me over the years have always said, that it was kind of 2015 emergence of the Illinois Basin. I am really not of that number. We have been permitting a new major mine in Illinois, we don’t plan on putting capital in it right now but we see it being an important source of the, really PRB, and Illinois basin will be the beneficiaries of the issues that are occurring in Central Appalachia right now.
Operator: We move next to Dave Gagliano at Barclays Capital.
David Gagliano - Barclays Capital: Great. Thanks for taking my question. I got to say, I am a little bit confused about the 2012 guidance. I am hoping you can help me understand this. So you’re guiding to 142 million to 158 million tons of thermal sales. If I add up the committed, priced or unpriced, of a 129 million, that’s 20 million less to go. So I am trying to figure out, where did you get that from, especially considering you just said you got early signs of deferrals and you think gas pricing will be low for the rest of the year?
Steven Leer: It doesn’t mean we quit burning coal, David. Right now, again just having been upstairs, the guys had identified that they know of, for this year, 9 million tons of PRB opportunities that are coming down the pipe. Now maybe some of that doesn’t occur, maybe it’s more than that. So, and as John said, we also anticipate some increased exports as well. So it’s early in the year, I mean obviously if we have a summer like we have in the winter you go to the downside of that number, the low side of that number. If we have a normal summer and the U.S. economy is showing some signs of being a little more robust than probably we were projecting even a month and a half ago, you could see a little pick-up in industrial load and demand. So, we’re assuming weak gas prices, we’re assuming not a lot of growth in overall electric demand. I think the EIA came out today and was projecting kind of a 2% decline, which, that would be improvement over the first six weeks here, but -- so we’ll ride that out. And the important part is that Arch is prepared to react to that market up and down and maintain our cost within our range and profitability and free cash flow.
David Gagliano - Barclays Capital: Okay. But your low end of your range, 142 million, assumes you find a home for that 20 million delta. Is that accurate?
Steven Leer: At the low end it’s not that big a number.
David Gagliano - Barclays Capital: Right. Okay.
Steven Leer: It’s not even close to that big a number. (inaudible)
David Gagliano - Barclays Capital: And then just related, the 6 million incremental or 6 million tons into the -- I just want clear this up, 6 million tons into the thermal export market, how much of that is actually committed in price, or committed?
John Eaves: Right now, David, we’ve probably got 1.5 million to 2 million tons of that committed, currently.
Operator: (Operator Instructions) We will go next to David Beard at Iberia Capital.
David Beard - Iberia Capital: Good morning, gentlemen. I’d like to ask you a little longer-term question on costs. As Tygart comes online, would we expect to see upward or downward pressure on your cap costs?
John Eaves: I think it would be downward pressure. I mean, we think it’s going to be one of the low cost operations in the east and based on what we’ve seen so far in our forecast, it would average our cost down in Central App.
David Beard - Iberia Capital: Very good. And then just switching to PRB. Maybe help us understand, because you sold I think about 13 million tons just under $14 and then 3 million tons admittedly small for next year, just under $16 if my calculations are correct. Just walk us through the PRB market works relative to sub $3 gas and sub $10 spot PRB?
John Eaves: Well, I mean, obviously, we’re not participating much in the market currently with where we see short-term markets. But as Steve mentioned earlier, the market’s pretty thin and what you see the indexes really aren’t necessarily indicative. The tons that we booked during the fourth quarter for ‘12, I think it had an implied price of about $12.50 to $12.60), half of that was 8,300, 8,400. So if you look at the 8,800 piece it was a pretty reasonable price. But, again, we evaluate the market. We’re not going to force tons in the market. You see where our cash costs are. We’re not in the market trying to lose money. We want to be prudent. We’re going to sell coal on a short-term basis where we need to, to run our mines optimally. But long-term we’re going to preserve those tons and wait till we can sell them and get a return. And hopefully, we’ll have a normal summer in terms of weather. They’ll pull these inventories down in the back half of the year, we’ll see better demand. But right now, we’re not seeing anything at least in the short-term that’s very exciting price wise.
Steven Leer: You know there has been some press on the PRB being impacted more than we have seen. Again, when you get write down to it over the long-term and when you’re talking about 450 million tons of total production out of the PRB, on the margins things can get nipped there. But it is an enormous market and will continue to be in enormous market as we go through 2012.
Operator: We will go next to Lucas Pipes at Brean Murray, Carret & Company.
Lucas Pipes - Brean Murray, Carret & Company: Hey, good morning, everyone. My first question is kind of again on the met coal side. You previously indicated that you could sell a little bit more. Could you provide us a little bit more color on what type of volumes you are now not planning to produce and sell? Is this primarily lower quality coal and then are you closing some mines or are you essentially reducing work schedules at existing met coal mines?
John Eaves: We are not closing any met mines. I mean, we pulled back some of our work schedules. I would tell you that if we had the opportunity and the demand was there, most of that additional volume would be in the high-vol B PCI type coal.
Lucas Pipes - Brean Murray, Carret & Company: Okay. That’s helpful. And then just for the U.S. overall, what do you expect in terms of met coal exports in 2012?
John Eaves: We exported about 108 million tons in 2011 with about 70% of that being on the met side. 30% being on the thermal. I would expect you’d see a comparable numbers as we move into ‘12. We are showing about 5 million tons to 10 million tons of growth potentially in that export number. And I still think that 70:30 split is about right.
Lucas Pipes - Brean Murray, Carret & Company: And that growth, would you say that’s primarily Asia or where do you see that...?
John Eaves: I would say some of it’s Asia, some of it’s South America, and maybe even a little bit into the Atlantic market with some of the coal flow changes that we are seeing with South Africa, Russia and Colombia.
Lucas Pipes - Brean Murray, Carret & Company: And specifically on the met coal side. Does it concern you that Australia is back up and running or how do you think that factors into your estimates?
John Eaves: When we look at our forecast, and as I mentioned earlier, we see tremendous growth over the next couple of years and a shortfall of somewhere between 300 million and 350 million tons cumulative over the next three years. We assume that Australia, all their projects come on as scheduled, on time, on budget, and I think we all know that it rarely happens in our business. So actually the short fall is probably much larger. We see opportunities for the U.S. to be a major player in the global markets with this short fall and we think we got the cost structure on the met and the thermal, we’ve got the infrastructure, and we’ve got the transportation networks. And I think you only see that increase as we start to develop some of the West Coast ports and unlock that pathway for some of our western coals, whether it’s PRB or Western Bit. But clearly, if you look at that short fall over the next three years, 60% of that short fall is on the met side and 40% is on the thermal side.
Operator: We will go next to Brian Yu at Citi.
Brian Yu - Citigroup: Great. Thank you. My first question is just with the 2013 contract in Central App it looks like volumes were stable, but average prices came down by a little bit over couple of bucks. Could you elaborate on that change?
Steven Leer: I don’t have a lot of detail on it, Brian. It’s probably just simple negotiations in the market, and I guess some of the earlier questions as well, where sometimes you place some coal in ‘12 and part of the negotiation is at ‘13 and even ’14, and you look at the total transaction. I think if you even go back to like one of the earlier questions on the PRB, on how do we place that low end of the guidance, including our committed but unpriced tonnage which is already pretty firm. Often you’ll sit down and you negotiate a two or three year deal and you get some extra tons in ’12. But maybe we have to be a little more aggressive in your pricing in ‘13 or ‘14. So every negotiation is different.
Operator: We will go next to Kuni Chen at CRT Capital Group.
Kuni Chen - CRT Capital: Hi. Good day. Most of my questions were already asked. Can you quickly just go back through the tax benefit that you expect for the year ahead and what’s driving that?
John Drexler: Kuni, this is John Drexler. Good question. If you look at the industry in general, we benefit from getting a deduction for percentage depletion. So at certain levels of pre-tax income, you see across the industry companies having a tax benefit. And you just look at 2011 this year for Arch we’re essentially in that position. With $135 million of pre-tax income we had about a 6% benefit. We expect the benefit as we look to 2012. I think maybe looking at 2011 is a good way to gauge if we’re going to have higher pre-tax income levels then what we see out there in 2011, then that benefit is smaller. If you’re going to have lower pre-tax income levels that benefit gets higher. So, I think that’s probably the best way I can describe looking at that tax provision as we look out into 2012.
Operator: And we move next to David Lipschitz at CLSA Financial.
David Lipschitz - CLSA: Good morning, or morning, I guess where you are. In terms of -- you said 300 to 350, 65% shortfall on the met side. What kind of steel production numbers out of China you’re looking at for those numbers. Considering right now, obviously they are running more at the 615 level, not the 680-700 they were running last year. Maybe they do run up, but what kind of numbers you are looking at?
John Eaves: David, I don’t know exactly the number. We have backed off the steel production in China and India, and I think we probably used anywhere from 5% to 6%. We can give you that exact number. But we’re showing reasonable growth in that market in steel production. And not only China and India, but we’re showing reasonable growth in South America as well, especially Brazil.
Operator: And we move next to Wes Sconce at Morgan Stanley.
Wes Sconce - Morgan Stanley: Just a quick one for Steve. In your prepared remarks, you mentioned that Arch’s cash -- Appalachian thermal coal cash costs are competitive at current prices. Is it fair to put that comment against CSX at about $60?
Steven Leer: I think it is fair on most of our operations, because obviously our average Appalachian costs have -- our met mines in there, some of which are below that number and some of which are above that $60 number. But when you look at the overall thermal mines, they’re pretty darn competitive.
Operator: We will go next to Meredith Bandy at BMO Capital Markets.
Meredith Bandy - BMO Capital Markets: Hey, guys, thank you very much for your stamina this morning. So, when you talk about the reduced workforce in Eastern Kentucky. Is that all just the shifts cutbacks that you’re talking about or did you actually have some layoff?
John Eaves: We did. We had some layoffs, about 103-105 people, somewhere in that range. Reduction in a number of operations, no particular one and it was all in Eastern Kentucky.
Meredith Bandy - BMO Capital Markets: Should some of the reduction in Central App thermal being a bit more permanent, maybe not forever but harder to bring back?
John Eaves: I think it just depends. Labor has been tight in Central App over the last couple of years. We’ve seen that ease over the last 60, 90 days. I think it depends on market conditions. As we look at Arch, you look at our safety record, our environmental record, our cost structure and our focus on growth, we think it’s a place that people want to work. If you look at our turnover rates they are pretty low. So we feel like it’s a good place and that we’ll always be able to attract talented and skilled people.
Operator: We will go next to Chris Haberlin at Davenport.
Chris Haberlin - Davenport & Company: Yeah. Could you maybe talk about the synergies a little bit? How much were realized in Q4 and can you remind us what your target is? And then how much of your synergies are driven by pricing and is there a price, either a met or thermal price, where you would revisit that target and think about adjusting it?
John Eaves: We have given you a range, I think of about $110 million as a midpoint for synergies in 2012 and we told you we expected to get virtually all of those as we move out. That’s still our expectation and we are getting the G&A savings, we are getting the operating savings. I think where we could be a little bit exposed is on the blending synergies. If we don’t move all the met volumes that we had forecasted, it may be hard to realize all those blending synergies that we laid out. But as the market improves we would expect to get those. So, and I think it’s going to be market driven for 2012.
Operator: And due to time constraints we will take our last question from Lance Ettus at Tuohy Brothers.
Lance Ettus - Tuohy Brothers: Hi, guys. Just one quick update on the Millennium port. I guess what are the steps you have to take before you can actually break ground there? And also with all the talk of, I guess potential PRB curtailments and your flexibility there, I know you said you’ll be market driven, but do you think anybody else there will pull back, if PRB prices continue to be weak and if demand kind of slows due to the low natural gas price environment?
Steven Leer: Well, we can’t answer for the other guys in the PRB. I can answer for Arch that we’re going to drive what creates the best long-term value for our shareholders and that’s really the commitment that will be market driven. We think that creates value, near term and long-term. When you look at the value of PRB reserves obviously we just acquired some reserves from the government in the last month or so, and there is more that will come due, at least announced LBA bids coming down the pipe. So we think the value of the reserves must be calculated as part of the overall return. So, what other people do, you’ll need to ask them. I just can answer for Arch. Turning to Millennium, that project continues to advance. We’re under no illusion that not everybody agrees with putting that in. But they are progressing to and having negations with the Department of Environmental Quality out there and the waterway and continue to work on remediation of the Brownfield site that it is. The design work continues. We’ll be filing documents and my understanding is they will be filing documents in the next several months to move the project forward. So it will be, I think a slow process, but continued process, probably one that goes two steps forward, one backward and three forward again, but it’s a great project. And will be good for the employment and the health of the community in that part of Washington.
Operator: And that does conclude today’s question and answer session. At this time I would like to turn the conference back over to management for any closing remarks.
Steven Leer: Well, let me close by thanking for your interest in Arch Coal today. I’d like to just really re-emphasize, well, 2012 will likely be, let’s call it an interesting year. We are really focused on Arch’s low cost. We expect to continue to be able to expand our high quality met coal portfolio to continue to strengthen and expand really our export capabilities. We see that as the major growth market for the U.S. based coals. As John Drexler mentioned, the free cash flow that we generate and expect to generate this year will be focused on debt reduction. And really I think as you look at Arch where we are, what you’ll see this year particularly is that our very competitive cost position will be demonstrated and allow us to be very competitive through the entire market cycle. So it will be an interesting year, I can say that much. Again thank you for your time and interest and look forward to talking to you in April.
Operator: And that does conclude today’s conference. Again, thank you for your participation.